Operator: Greetings, and welcome to the MARA Q2 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Robert Samuels, Vice President, Investor Relations. Please go ahead.
Robert Samuels: Thank you, operator. Good afternoon, and welcome to MARA's Second Quarter 2025 Earnings Call. Thank you for joining us today. With me on today's call are our Chairman and Chief Executive Officer, Fred Thiel; and our Chief Financial Officer, Salman Khan. Today's call includes forward-looking statements, including those about our growth plans, liquidity and financial performance. These involve risks and uncertainties, and actual results may differ materially. We disclaim any obligation to update these statements, except as required by law. For more details, see the Risk Factors section of our latest 10-K and other SEC filings. We also reference non-GAAP financial measures like adjusted EBITDA and return on capital employed which we believe are important indicators of MARA's operating performance because they exclude certain items that we do not believe directly reflect our core operations. Please see our earnings release for reconciliations to the most comparable GAAP measures. We hope you've had the chance to read our shareholder letter and look forward to your feedback. We'll begin with some prepared remarks from Fred and Salman. After their comments, we are going to be conducting an analyst interview with management. Today's session will be conducted by Chris Brendler analyst at Rosenblatt Securities. And with that out of the way, I'm going to turn the call over to Fred to kick things off. Fred?
Frederick G. Thiel: Good afternoon, everyone, and thank you for joining us. No matter how you look at it, Q2 was a record-breaking quarter for MARA, setting new highs in revenues, adjusted EBITDA, net income, energized cash rate, lead efficiency, and blocks produced in a single month in May. Beyond performance, we continued to invest in the infrastructure that underpins our business from scaling low-cost flexible load data centers to exploring international opportunities in regions with abundant energy and growing demand for sovereign compute. This quarter, in support of our strategy to support the load balancing needs of AI HPC data centers, we announced strategic partnerships with TAE Power solutions backed by Google and Pado AI backed by LG. Together, we're codeveloping grid responsive load balancing platforms that support the next generation of AI infrastructure, enabling us to monetize our energy and compute capabilities across broader markets. As part of our low-cost energy strategy, we completed construction of a new behind-the-meter data center at our wind-powered site in Hansford County, Texas. This gives us access to low-cost power directly to the source, improving our margin structure and boosting energy efficiency. And subsequent to quarter end, our holdings surpassed 50,000 bitcoin, a milestone that solidifies MARA as the second largest bitcoin holder globally. More importantly, this is a treasury we built through disciplined infrastructure development, scaled operations and focused execution. Now while some people may see us as a bitcoin treasury company, given the size of our bitcoin holdings we don't consider ourselves as one. We're invaders, builders and operators. We're actively managing our bitcoin holdings to create long-term value for shareholders. Bitcoin remains our reserve asset and we will continue to build on our holdings, whether through production or opportunistic purchases depending on market conditions. To that end, we made a minority investment in Two Prime, a digital asset management firm specializing in risk optimized yield strategies who've been managing a portion of our holdings. We will continue to make prudent decisions around allocation and risk exposure based on broader macro and market conditions. Regarding the current price of bitcoin, our view is that things feel a little frothy at the moment. While there is persistent demand for bitcoin, this is balanced by an ample supply owing to long-term holders taking profits from bitcoin held in some cases since the earliest years of bitcoin's infancy. Supply is currently being absorbed relatively well. But if the buying demand were to subside, we could see downward pressure as sellers attempt to lock in gains at these high price points. With our recent convertible notes offering, we have significantly bolstered our balance sheet to have the flexibility to act across a range of strategic priorities, including opportunistic bitcoin purchases debt repurchase, M&A and general corporate purposes. Whether bitcoin goes up or bitcoin goes down, we believe we are positioned to benefit. We're positioning MARA at the forefront of what's increasingly being recognized as digital energy or the use of technologies and data to take energy systems more efficient, reliable and sustainable. This strategic focus enables us to capture value at the intersection of compute and energy, a convergence that will define next-generation infrastructure economics. We're exploring ways to design infrastructure for hybrid workloads like AI inference, which is a rapidly emerging -- which is rapidly emerging as the dominant workload in AI infrastructure. Another area that we believe will drive value is sovereign edge infrastructure. and allowing enterprises and public sector customers to have jurisdictional and operational control over data, compute and AI outputs. We see growing demand for compute infrastructure that is geographically sovereign, energy-aligned, and secure by design. We believe the addressable market is accelerating, particularly in Europe and emerging markets where data sovereignty and energy efficiency are critical factors in purchasing decisions. Our intent is to extend MARA's vertically integrated Compute platform into edge environments that meet the unique needs of latency sensitive, compliance-driven and workload-diverse use cases. In this regard, we are working closely with government officials and major energy partners to extend our reach into global markets. As part of these efforts, we've been laying the ground work for a regional headquarters in Saudi Arabia, and we have established entity in France as a European headquarters. We believe this approach will provide us access to low-cost energy by partnering with energy companies and infrastructure capital providers to lower our capital commitments. Through these efforts, we built a global growth pipeline exceeding 3 gigawatts, positioning us to scale efficiently across key markets. When you put it all together, as inference increasingly becomes the dominant cost center in AI, control over geography, latency and energy cost becomes a strategic advantage. We'll continue to invest here to ensure MARA is well positioned to meet this demand. We're excited to host our first ever Investor Day this fall. This inaugural event will offer a deep dive into our long-term road map with insights into how we are activating our digital energy strategies across mining, infrastructure and AI. To join us, please reach out to our Investor Relations team. To wrap up, Q2 was a milestone quarter. We grew our treasury expanded our infrastructure and proved once again that MARA is far more than a bitcoin mining company. We are the category leader in bitcoin mining but our value lies in the infrastructure that underpins it, infrastructure that we're now leveraging to shape the future of compute. Thank you for your continued support as we build what is next. Now I'll turn it over to Salman for additional insights on the quarter.
Salman H. Khan: Thank you, Fred. In Q2, we delivered record financial performance, driven by strong execution and an improving bitcoin price environment. Over the past year, we've remained laser-focused on aligning shareholder interests with bitcoin ownership through disciplined operational execution. Between Q2 of 2024 and Q2 of 2025, our bitcoin holdings surged by over 170% going from approximately 18,500 BTC to nearly 50,000 bitcoin. During the same period, our energized hashrate expanded by 82%, increasing from 31.5 exahash per second to 57.4 and the market value of our bitcoin holdings increased by more than $4.2 billion or 362% year-over-year. Let me provide some financial highlights for the quarter. We broke some records. Revenues increased 64% to 238.5% -- excuse me, revenues increased 64% to $238.5 million from $145.1 million in the second quarter of 2024. This was the highest revenue quarter in the company history. The increase was primarily driven by a 50% increase in the average bitcoin price, which contributed $77 million. We produced an average of 25.9 BTC each day during Q2 and compared to 22.9 BTC each day in Q2 of 2024, which resulted in 300 more BTC earned. Furthermore, we saw a 52% increase in the number of blocks won in the quarter compared to the second quarter of last year. May 2025 was the highest single month in our history. We reported net income of $808.2 million or $1.84 per diluted share in the quarter compared to a net loss of $199.7 million or $0.72 per diluted share in the second quarter of last year. We recorded a $1.2 billion gain on digital assets, including BTC receivable during the second quarter of 2025. This reflects the impact of bitcoin holdings on our balance sheet. Now let's turn to cost structure. Our purchased energy cost per bitcoin for the quarter was $33,735 per coin, which we believe is among the lowest in the sector. And our daily cost for petahash per day improved 24% year-over-year. This improvement reflects our growing fleet of owned and operated sites which now account for approximately 70% of our total hashrate. That transition continues to pay dividends, both operationally and financially. Now let me talk about our bitcoin holdings and asset management. MARA is the second largest corporate public holder of bitcoin, and we seek to generate returns on our holdings as bitcoin price appreciates. Our dedicated bitcoin asset management team made up of seasoned professionals with decades of experience in hedge funds and crypto asset management actively pursues risk-adjusted return opportunities to generate cash flows that support our operating expenses. We deploy bitcoin across a diversified portfolio of investment strategies, including lending, trading and other structured arrangements designed to unlock incremental value. Our approach combines the potential for long-term bitcoin appreciation with disciplined efforts to generate return while managing risk. To a lesser extent, we have also used bitcoin as a collateral to borrow under lines of credit. Let me deep -- dive down a little bit. During the quarter, we entered into a separately managed account or SMA agreement with Two Prime which is an external full-service registered adviser and transferred 500 bitcoin in mid-May of 2025, followed by an additional 1,500 bitcoin in late June of 2025. As of June 30, 2025, a total of 2,004 bitcoin were held and actively managed within that SMA. The 500 bitcoin transferred in May 2025 generated an additional 4 bitcoin or additional $0.4 million in a short period of time. We managed the SMA to generate returns while limiting risk and it maintains liquidity with short-term notice followed -- following an initial 1-year lockup. In addition, our bitcoin asset management team may from time to time engage in various bitcoin denominated traits such as auctions, futures, swaps, covered calls and spot transactions to generate additional returns on our bitcoin holdings. I want to highlight that subsequent to quarter end, we issued $950 million of 0% convertible senior notes due 2032. With this upsized convertible notes offering, we have significantly bolstered our balance sheet. This additional liquidity gives us the flexibility to act strategically, whether by acquiring more bitcoin funding M&A or repaying debt. Its purpose is not to fund day-to-day operations. We are under no pressure to deploy capital immediately. Instead, we are positioned to act in response to market conditions in order to maximize long-term shareholder value. We are different from other BTC treasury companies, as Fred mentioned. As a core business is -- our core business is bitcoin mining and large-scale data center operations, even as we hold the second largest bitcoin worldwide amongst public companies. Looking ahead, that sets us apart -- what -- looking ahead, what sets us apart is our thought leadership, worldwide operational scale and capital and operational efficiency. As of June 30, 2025, we held over $5 billion in liquid assets and with approximately $1 billion raised since gives us flexibility to fund domestic growth and pursue international expansion. Unlike passive treasury companies, we treat our bitcoin as a productive risk- managed asset through a disciplined asset management strategy, our holding strengthened the balance sheet and help fund operations which we believe will enhance long-term shareholder value. We don't just hold bitcoin. We put it to work. Finally, we remain on track to reach our 75 exahash goal by end of the year with all miners secured and funded except for $150 million that we expect to pay in the second half. We are laying the groundwork for 2026 and beyond. We are executing on a pipeline of energy infrastructure projects, both in the U.S. and internationally. And we expect these investments to expand our capabilities, while costs are continuing to be low. With that, I'll turn over to Chris Brendler from Rosenblatt Securities, to begin our management interview. Chris?
Christopher Charles Brendler: Thanks, Salman and thanks so much for inviting me to do this. This is super exciting to be able to dig through the results with you guys. And also sort of an update on the strategy, a lot going on in bitcoin and crypto these days. So I guess I wanted to start with the mining business, the core mining business. And maybe for Fred, just sort of give me an update on -- so the current thinking around mining versus HPC. We've seen a lot of competitors increasingly look to move there power assets towards high-performance compute and potentially could sort of see a slowing of bitcoin mining competition. But at the same time, I think the network hashrate is reaching new highs again, even though we're in the middle of a pretty hot summer. So I would love to just hear your sort of 10,000-foot view on the bitcoin mining business as it stands today.
Frederick G. Thiel: I think -- Thank you, Christopher, joining us today. I think the -- as you look at the marketplace today, there's a shift occurring. You have companies who previously were kind of in the mid-tier of bitcoin mining, who have been working on a transition to HPC trying to leverage their energy assets. And you've been seeing really a couple of things happen. For 1 thing is not many of them have been able to secure contracts with hyperscalers and some of them have moved towards essentially trying to go out and get customers -- enterprise customers directly who will host with them or leverage their capacity. We personally think that, that business is, over time, going to be very price competitive and margins are going to compress because in most cases, bitcoin miners are really just providing power and if they're building buildings and making the investments, which according to some analysts can be as high as millions and millions of dollars per megawatt, well over $10 million a megawatt. It's going to be hard for them to acquire customers. Many enterprise customers want to work with people who have hosted enterprise customers before and understand how to run those types of data centers and most bitcoin miners don't. So you still haven't seen really any large number of these companies transition successfully HPC outside of a handful. At the same time, you're seeing new entrants come to this market. You have a Tether coming in. You have Bitmain, the single largest hardware vendor effectively taking control of a company called Cango, transferring hashrate to that company and becoming the #3, #4, or #5 largest bitcoin miner in direct competition with their customers. Tether themselves have stated the goal that they want to be the largest bitcoin miner in the world. So you're seeing a whole new entrant of people coming into this marketplace and some people leaving the market. We remain very focused on being a bitcoin miner. But we're also very focused on looking at where you have the convergence of inference AI and the needs of enterprises, especially around sovereign data. And we believe this is a unique area where we're positioned to be quite successful in the long term, and that's why we've been focusing our efforts in developing relationships with sovereigns, with governments, with energy companies in regions where we think there's going to be a huge amount of investment that we can take advantage of to help grow our business along those lines. While at the same time, it continues to grow our bitcoin mining business. As we mentioned on the call, we have a pipeline of 3 gigawatts plus of power, and we intend to continue to grow at a very fast rate while also growing our business around sovereign data.
Christopher Charles Brendler: That's very helpful. I guess I'm going to drill down a little bit on the sovereign topic. You mentioned these in your prepared remarks the potential for headquarters in Saudi Arabia as well as France and sort of mentioning that -- or highlighting the fact that location was important when it comes to inference. Does that suggest that you potentially will enter this business directly? Or it seems like more likely you would do it through partnerships, is what I'm guessing.
Frederick G. Thiel: Exactly. The focus here is through partnerships, partnerships with energy companies. Some have people on this call may recall that 4 years ago at Mining Disrupt, I did a presentation that most people found a little startling which was, I basically said that bitcoin miners will either have to become partners with energy companies or energy companies will take over their businesses. And I believe that unless you as a bitcoin miner own your own energy generation, you have to become a partner with the energy company, not a customer of the energy company. And so if you look at some of these regions, Europe, Gulf region, for example, you have very top-down driven energy companies who are typically government-owned or government run or have a substantial percentage of ownership by government and you have to partner with the government and partner with the companies. And in these regions, there is a big demand for sovereign data and AI because the enterprises in those regions do not want to have their data in clouds that are either owned and operated by the U.S. or the Chinese or people outside of their regions. And so they want that data residing in their countries, within their borders. In close proximity to their enterprises. And we believe that partnership of working with government and sovereign controlled energy companies and operating data centers within their borders to provide them with sovereignty over data and AI is a combination of factors that could make us very successful.
Christopher Charles Brendler: Makes sense. Is this -- would this be similar to the experience and the success you've had [ UAE ] or it's a joint venture? Or are you envisioning a different type of partnership when you think about these kind of relationships?
Frederick G. Thiel: That's great that you mentioned the UAE. So -- when we did that transaction, that was very focused on bitcoin mining and remains one of the most successful bitcoin mining data centers that we built from a perspective of uptime and operations. It's an amazing site and is clearly still one of the leading immersion bitcoin mining data centers in the world. That taught us a lot about working with sovereigns, especially in that region. It taught us what the right type of partnerships are and how to structure those partnerships. And what you'll see going forward is something a little bit different, where you see the energy companies being more involved in the deal. And also where you see us having a greater degree of control over the terms and the relationships.
Christopher Charles Brendler: Great. Okay. And I do remember that presentation you gave 4 years ago that was pretty pressing for sure and definitely was surprising to think that energy companies would be directly working in the bitcoin mining space, but that seems a lot more likely today for sure. Speaking of bitcoin mining, I wanted to ask a question. When it comes to acquiring power assets. And it seems like MARA's own path has slowed a little bit just in terms of growth. I feel like based on the conversations and the pipeline you disclosed just now, there's a lot going on. And is that because you're trying to balance your needs with your investment? Or is it increasing competition from hyperscalers that is impacting the queue for power assets?
Frederick G. Thiel: Well, we wouldn't have a pipeline of 3 gigawatts, we were competing with hyperscalers, tooth and nail for power assets. We made a fairly concerted decision to focus on growing with the right types of assets versus just growing at any price. Growth at any price can be dangerous in a market where bitcoin price is running high and where hashrate is remaining relatively stable because of constraints of either capital or compute or capacity, you can afford to grow in network attached mode. And if you recall, we started as an asset-light company. The reason we were successful in growing to be the largest bitcoin miner in the world using an asset-light strategy was there were enough constraints in the market that you could grow most rapidly by controlling compute because there was ample capacity there was ample access to capital, the 3 Cs that constraint in our business. Today, it's different. Today, if you are looking at using; grid-attached energy at an average price of anywhere from $0.045 to $0.05 a kilowatt hour, you are forced to replace your machines every 3 years which is a significant capital cost. And as you start looking at having in 2028 and another one after that in 2032, you really have to look at controlling your energy assets or being a partner with energy companies where they can contribute energy and you contribute compute. That's the only way companies will be successful in the long run in this business. And so we've been very focused on executing the strategy of partnerships and controlling energy assets. And yes, it takes a while to get that started, and we've spent a lot of time this year focused on getting that process started and initiated. And we've built the pipeline now. We've built the relationships and we're in the phase where we start to begin to execute. And I think this will feed our growth over the next 2 to 3 years quite significantly.
Christopher Charles Brendler: Excellent. And I don't want to get sort of -- breaking sort of undisclosed ground here, but is it safe to assume that maybe the majority of that 3 gigawatt pipeline is outside the United States?
Frederick G. Thiel: That would be undisclosed. So I think you can reference what we've said before that by 2028, about 50% of our revenue would come from international, and we're still focused on that.
Christopher Charles Brendler: Perfect. We'll have to stay tuned. I wanted to ask 1 more question on the bitcoin mining business before moving on, which was -- actually maybe 2 more, which was, I don't know where the industry stands from a hydro cooling perspective. It feels like it's relatively new technology for large-scale miners. What are your. [Audio Gap] S23 From Bitmain or similar models and pivoting to hydro cooling?
Frederick G. Thiel: Yes. I think early generations of hydro cooly had lots of challenges, leaky pipes, large consumption of water, which is a no-no in many places. and a lot of just glitches. I think Bitmain has most probably figured out how to do this more effectively now. I think the other difference is the form factor for the hydro has changed. They're now doing proper 2U rackmount devices, which means you can start using similar infrastructure for bitcoin mining as AI, which as we've been talking all along is what we view the future as being a mix of AI and bitcoin mining in the same data centers. We in UAE, for example, chose immersion technology because at the time hydro wasn't significantly developed in a way that was reliable to operate in those regions. Today, I think you can go either way, you can continue to go immersion or hydro. I think what's going to be very interesting in the future and one of the things we've learnt with our 2PIC technology is, there is this very interesting middle ground around cold plate technology that potentially is the ideal transition, which is slightly different than liquid on chip, which is how the hydro works. So I think we have yet another evolution to go through in this market before the world moves to the need to go to full immersion on AI, the heat densities in the next couple of generations, we'll start getting to a point where you're going to have to go to full immersion. But today, you can still make it with liquid on-chip and eventually cold plate technology there.
Christopher Charles Brendler: Makes sense. I would like to talk about the bitcoin mining in the quarter for a second. One of the things that analysts have to realize that these things could ebb and flow and as there is some randomness to bitcoin mining operations. And sometimes you have good months and bad months, and quarter in particular, the market share kind of bounced around quite a bit between April and May was fantastic, and then it came back down in June. Was there any sort of structural uptime or downtime or curtailment that impacted those numbers significantly? Or is it just total randomness?
Frederick G. Thiel: I think you can look at the year and look at seasonality, we have a large amount of our production in Texas. As you get into June, you start getting into warmer months and curtailment starts happening. There are also things like certain maintenance cycles and other things that can impact any given sight from time to time. Definitely, May was an amazing month where we benefited from the randomness very well. But generally, we have found that when we look at -- to what extent, luck, as it's called in our industry, impacts us. We have over quite a long period, had a minor degree of quite positive luck. But that being said, as you get into the summer months, you just have to expect a greater percentage of curtailment if you're operating in states for, that's a requirement, which it is in Texas.
Christopher Charles Brendler: Sure, it makes sense. Okay. So that sort of big picture question. I'd love to get your current thoughts on -- you mentioned already in your prepared remarks was the bitcoin treasury strategy companies and their success and sort of this frothiness that we're seeing to be in with companies not only announced the bitcoin treasury strategy but other tokens and crypto assets are now be getting lots of investor attention. I think there's certainly a narrative here that Marathon is different or MARA is different. So I'd love to get your current thoughts on the bitcoin treasury and how we should see that difference play out in market values over time between MARA and some of the competitors?
Frederick G. Thiel: I'm not sure who to attribute this quote too, but somebody at a recent event that I was at basically said, "bitcoin treasury companies are the new ICOs." And if you go back to kind of 2017, as you said, bitcoin treasury companies, you can basically say you're going to put whatever coin it is into a treasury company raise money for it, and get investors -- there's even one for BNB coin that was announced recently. So I think there's a lot of money going at these things. I think a number of analysts and reporters have written about the fact that strategy has done an amazing job of creating this space, kudos to Michael and his team for what they've done there. But any advantage in any market starts disappearing when you have lots of companies going after it. I think it was earlier this week, somebody published $82 billion has been raised for bitcoin treasury companies that are going to hit the market or -- sorry, crypto treasury companies, bit large, across all the different coins. And they can't all be successful. And what happens to those companies that are holding coins when their mNAV goes to 1 or worst case, like what happened to Grayscale during a period the mNAV goes negative. They likely will have to sell those coins. So my concern and my -- I think the concern of many people regarding the frothiness in the market today is, you have a lot of people buying bitcoin with other people's money. And if bitcoin, especially for the newer treasury companies sees a decline they may be challenged and people may sell them the stock to get their money out. Realize that bitcoin treasury companies are not like an ETF, what people have to do to try and save the money is sell the stock in those companies. And I think with as many companies doing this, there are a certain percentage of them will likely fail and that will negatively impact the price of bitcoin. We've had wallets from 2011, I think this wallet that Galaxy recently traded, $9 billion for 80,000 coins I think it was. People are selling at the peak when the whales that have been holding are selling, it tells you something. Historically, whales always sell leading into the peak. They sell into the top in the market. And every bitcoin, I mean 9-point-something percent of all bitcoin are in profit today. And the people who are buying and looking to build treasury companies are buying at the absolute top of the market. And at some point, demand will waiver. And you have to remember that bitcoin from an institutional perspective still is a risk asset. It typically while follows M2 on the asset side, liquidity, it also correlates to inversely to the dollar. And the equity markets, it's quite correlated at times. And so I think if we see a deterioration in the economy, if we see deterioration in the equity markets. And we start seeing an improvement in the dollar. You may have an environment where bitcoin could see a drop. And I'm not saying it's going to drop 80%, but it could drop 20%, 30%, great buying opportunity for many. But you've, again, got a lot of people who have been holding on for the right time to sell, and if you see any momentum to the downside, you may see a lot of selling which will just accelerate things. So I think you have to be prudent, and it's an important -- these treasury companies are, again, a bit like ICOs. And I think that too much of a good thing ruins the returns for everybody. So I would expect you'd start seeing the mNAV on these things to eventually just hit 1. And at that point, you're better off holding spot.
Christopher Charles Brendler: Yes, that makes sense. How do you -- how do you view the MARA stack differently? I mean it's gotten very large now. It's over 50,000 coin, over -- well over $5 billion. And I think it's not really sort of tagged for growth purposes. I think it's been pretty clear this is a longer-term investment. But do you foresee sort of building forever? Or is there a point where you would think about potentially selling some of your bitcoin, just given how large it's becoming relative to your market cap.
Frederick G. Thiel: I think there's -- unlike some treasury companies, there's always a point at which we would sell some bitcoin. There may be a point where, for example, the appreciation of bitcoin and the volatility of bitcoin decreases to the point where it operates more like gold, for example, at which case the cost of us for the company of holding bitcoin can be such that our average weight of capital to run the business by leveraging equity would become too prohibitive, and it would make sense for us to, like we did in 2023, sell bitcoin from production to pay for operating expenses. That's always an option. We are a bitcoin company. We believe in bitcoin for the long term. And as long as bitcoin continues to perform, we have to do what's right for our shareholders which as fiduciaries is leverage bitcoin while it continues to perform and if need be sell bitcoin.
Christopher Charles Brendler: Makes sense. And there was some good commentary, I think it was more, some on side about actively managing the bitcoin treasury and yield strategies, Two Prime. Maybe give us an update on the thinking around Two Prime and how large -- how much of your bitcoin stack are you willing to try to monetize? And does the active management include hedging strategies? And I know there was a collar strategy in the past. Is that something that's on the table if you think that it's going a little extended? Or are you still more focused on yield than actual hedging?
Frederick G. Thiel: I'll throw that to Salman.
Salman H. Khan: Chris, when you think about our bitcoin treasury, as you mentioned, 50,000 stack coin sitting on our balance sheet, we are looking at not just capital appreciation from a long-term perspective, as a treasury asset, but also we want to create a yield and earn cash flows from that bitcoin that's sitting on our balance sheet while it continues to appreciate for a longer duration of time. So it's a two-pronged approach and it's a financial decision. As Fred mentioned, we are a bitcoin mining company and we produce bitcoin on a day-to-day basis unlike treasury companies who will have to go and buy bitcoin from the open market. We don't have to do that as we alluded to our -- we can produce it cheaper than going out and buying bitcoin from the open market. Having said that, this is -- this industry is much newer than other industries. This is just the beginning. And we have tested multiple investment strategies over the last 2 years by testing the market, testing different partners. And and placing a bitcoin with parties that we trust, and we have verified their credibility from a delivery standpoint. And as a result of that evolution, now we have about a little bit shy of 1/3 of our bitcoin that is activated as we call it, in the active bitcoin asset management strategy. With that, it includes, I would say, hedging is -- when you say hedging, typically, people think hedge means that we're trying to protect from the price risk. That's not the objective. The objective is to create cash flows, so that could have covered calls, that could have multiple trading strategies where we, either in-house or through our investment and partnership with Two Prime, we go out and we squeeze value out of the bitcoin. As I've mentioned in the prepared remarks, within a very short period of 1.5 months from 500 bitcoin, we were able to produce 4 bitcoin. And look, it's infancy stage, newer industry, but we're testing these different strategies successfully. And the plan would be as we test the waters, we continue to expand from here step-by-step basis while keeping in mind the fiduciary responsibility that we have with the stack on our balance sheet that our stockholders own by being a stockholder in this company.
Christopher Charles Brendler: Excellent. That's fantastic Salman. I want to go back to sort of the higher bigger picture stuff and think about diversification beyond bitcoin mining. I think that was a push at one time to try to diversify the top line and be less reliant on the ebbs and flows of the mining business. Where do you stand today on diversifying the business? And is bitcoin treasury yield strategy as part of that diversification.
Frederick G. Thiel: I mean, treasury yield is a way to generate yield off of an asset that we have. It's kind of like you think of old money, what does old money do? They buy real estate and then they live off the yield of their real estate. If we have enough bitcoin, and can generate a yield off of it that it covers our a good portion of our operating expenses, and that takes pressure off of the other businesses so that we can continue to invest in diversifying revenue. So we are focused on investing significantly in growing our business around sovereign data and inference AI. As we come to a point where we're launching things and announcing things, it will become quite clear. But for the moment, I'll just leave it to say that we're very focused on building the next leg of MARA. So that for the future, we can leverage these great assets that we have, continue to grow them and gain synergies from them as we also add additional revenue streams that let us leverage some of the benefits of those assets going forward. well beyond the period we're having reduced bitcoin rewards to much lower levels.
Christopher Charles Brendler: I'd imagine that would include sort of along with your international expansion goals as well as you to expand beyond the core U.S. mining business.
Frederick G. Thiel: Yes, absolutely.
Christopher Charles Brendler: Okay. One last quick one for Salman.
Salman H. Khan: Just to add to that, Chris. The diversification of revenues. There are 2 ways of unlocking that: one is diversification of revenues, and the other way is to reduce costs. Just a quick reminder for our listeners today that MARA started with asset-light strategy years ago and we grew very quickly over the years. And last year, we pivoted towards asset-heavy strategy, where we exited the year with 70% owned and operated. The result of that was that we reduced our electricity cost per coin in our own mining operations to one of the lowest in the sector. Now we still have a portion of our business that is tied to asset-light strategy from our historical contracts, and there's opportunity to reduce costs over time as those contracts expire. And as Fred had alluded to last time, and we have talked about low-cost strategies, the diversification doesn't stop there. We also went out and bought a wind farm that we just provided update on our prepared remarks a few moments ago. Those wind farms, just to pause on that or double click on it, in a traditional bitcoin mining operation, the grid connected, compare that to the wind farm intermittent power, but just consumes power when the electricity is close to low-cost electricity. Marginal cost is almost 0. At that point in time, you're all-in cash operating cost of a traditional bitcoin miner versus a wind farm is about 75% to 85% lower than the traditional decline mining operations. So when we talk about diversification, it's not just diversification of revenues, but also the sources of power and the way we generate bitcoin. And in future, it could be AI depending on what is the best use of the electrons. So I wanted to highlight that important fact that, that diversification continues to happen at MARA, and our shareholders will get to see those benefits over a longer duration of time, as we are the only large-scale miner where we have opportunity to further reduce cost with these third-party contracts expiring over the years.
Christopher Charles Brendler: Yes, that's a great point. The improvement in cost has been phenomenal and really helped improve the gross margins and for the leadership position from a profitability standpoint. The quick question I had a follow-up, Salman, was from a CapEx perspective. How much of the 75 exahash year end target has been already funded as of this quarter?
Salman H. Khan: Yes. So we -- as we mentioned earlier, almost all of it is funded except for $150 million in minor capital there will be additional electron related capital that may be added to it to get to the 75 exahash, but we are -- our eyes are laser-focused to the 75 exahash as we had publicly disclosed a few weeks ago, and we're excited about that.
Christopher Charles Brendler: Great. Well, again, thank you so much for all the time and the answers here, pretty exciting stuff and look forward to hearing the future announcements on your growth plans. Thanks so much. I'll turn it back over to Rob.
Robert Samuels: Thanks, Chris. We're now going to take just a few questions from our retail shareholders. And the first one I'm going to address to you, Salman, and it's one that we get asked quite often is, can you talk a little bit more about MARA's cost to mine per bitcoin?
Salman H. Khan: That's a very important question. And I want to address point-blank, it's -- when you think about our financials, you have to think about the evolution of the company. As I had alluded to earlier, we were asset-light strategy company. We grew very quickly but as a result of that, our costs were higher compared to some of the other peer group companies. We -- as a strategic decision last year made the decision to move towards asset-heavy strategy, our vertically integrated model where we own and operate our own sites. We paid cents to the dollar to acquire those sites compared to the market price and also the build multiple less than 50% the build multiple. And now we're operating those sites. As a result of that, our electricity cost per coin is one of the lowest in the sector. And when you think about bitcoin mining and MARA, bitcoin mining is in our DNA, but we are also focused on other initiatives as Fred has alluded to. So we also own and operate our mining pool. We have our own firmware. We also are investing in R&D that is the future of the business and diversification of the revenues that Fred mentioned around AI. And those costs, it's not fair to compare the total cost of the company on a coin basis because that cost is not attributable to the coin. So if I have to do the math and look at our asset-light and asset-heavy, combination of cost of revenue, cash costs and look at our bitcoin produce quarter-over-quarter, it hovers around $50,000 per coin and that is still more than 50% cheaper than buying in the open market. Now with time, as I had said earlier, we expect these costs to further improve as our third-party mining operations that are more expensive than owned and operated mining operations will expire over a period of time. And as we exit those contracts and continue to build on the low-cost strategy with the wind farms and the and NGON, which we plan to expand further the oil and gas operations, where we consume natural gas that was being emitted into the air and we reduce the harmful gases by consuming that and put those electrons to use, that those costs are cents to the dollar compared to a traditional mining operations. And with a combination of those things, our focus -- our expectation would be that over time, our costs are going to continue to be going down from here as we expand.
Robert Samuels: Great. And then the second question is for Fred. How will the signing of the GENIUS Act affect MARA's path to bitcoin mining?
Frederick G. Thiel: So what the GENIUS Act does is essentially opens the floodgates to stable coins being integrated with the TradFi system. For example, today, we saw Circle announced that Fiserv and FIS are going to integrate Circle into their payment system and you're seeing the credit card companies developing stable coins. You're seeing banks developing stable coins. What happens when you have stable coins is, you now have liquidity that can flow 24/7, 365. For people today wanting to buy bitcoin, they have to move money from a bank account on to an exchange during banking hours which means the predominant volume of bitcoin that trades typically happens during banking hours, 9 to 5. With stable coins, people can hold value in a digital currency that's the equivalent of a dollar. So it doesn't have the volatility of something like bitcoin, for example. And they can move on a moment's notice, transfer to an exchange and trade right away. What that does is likely creates a greater incentive for people to trade 24/7. Now there are many traders who take advantage of the lower volumes of trading that happens during nighttime cycles depending on the market you're in because there's lower volume, which means that if you have -- if you're placing orders at different price points, you can potentially move the market a little easier. But with stable coins, I think what's going to happen is more liquidity will flow into bitcoin. You've also seen things like Ray Dalio, now say that you should have 15% of your assets in gold and bitcoin. So I think with stable , essentially, liquidity will flow. And when liquidity flows, people will move that liquidity into whatever asset they think is the best performing place to hold it. So stable coins will increase the ability for people and especially institutions to potentially allocate greater amounts of capital to things like bitcoin. And so I think it only bodes well.
Robert Samuels: Terrific. Well, that's all the time we have for today. Thanks, everyone, for joining us. If you have questions that were not answered during today's call, please feel free to contact our Investor Relations team at ir@mara.com. Thanks very much, and enjoy the rest of the day.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.